Operator: Welcome to Anheuser-Busch InBev’s Fourth Quarter and Full Year 2021 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Michel Doukeris, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today’s call, please visit AB InBev’s website at www.ab-inbev.com and click on the investors tab and the reports and results center page. Today’s webcast will be available for on-demand playback later today. [Operator instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management’s current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev’s actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev’s future results, see risk factors in the company’s latest annual report on Form 20-F filed with the Securities and Exchange Commission on the 19 of March 2021. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and should not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Michel Doukeris. Sir, you may begin.
Michel Doukeris: Thank you, Jessie. And welcome, everyone, to our fourth quarter and full year 2021 earnings call. It’s a pleasure to be speaking with you all today, and I hope you are staying safe and well. Today, Fernando and I would like to cover three topics with you: our fourth quarter and full year operating highlights; an update on the strategic pillars of our strategy; and how we are meeting the moment in 2022. We’ll then be happy to answer your questions. So, let’s start with our operating performance. We are very pleased with our performance in both the fourth quarter and full year 2021. In the fourth quarter, we delivered top-line growth of 12.1% with 3.6% volume growth. Revenue per hectoliter accelerated in quarter four 2021 to 8.1%, driven by the implementation of pricing actions across some of our key markets, ongoing premiumization and continued recover of the on-premise. EBITDA increased by 5% versus quarter four 2019 pre-pandemic levels. We grew top-line by meetings in EBITDA by low single digit. We delivered normalized EPS of $0.90 and underlying EPS of $0.74. Let’s now move on to our full year results. We delivered 15.6% top-line growth in full year 2021 comprised of 9.6% volume and 5.5% revenue per hectoliter growth. EBITDA grew by 11.8% at the top-end of our 2021 outlook. Compared to pre pandemic levels we grew top-line by more than 10% and nearly recovered EBITDA on organic basis. Normalized EPS increased to $2.85 and underlying EPS increased to $2.88. As a result of our performance and strong cash flow generation, we reduced gross debt by nearly $10 billion this year, leading to a net debt to EBITDA ratio of 3.96 times. This ratio is now below 4 times for the first time since the combination with SAB in 2016.  The Board has proposed a full year dividend of €0.50 per share for fiscal year 2021. Now I would like to share some highlights from our key markets. Our business in the U.S. delivered a third consecutive year of topline growth, driven by consistent execution of our commercial strategy, focused on rebalancing our portfolio. Our above core portfolio now presents over 30% of our revenue and grew by high-single digits this year. In Mexico, we finished year strong, delivering double-digit top- and bottom-line growth compared to both 2020 and 2019.  Market share expanded by over 150 bps versus pre-pandemic levels. In Colombia, we deliver double digit top- and bottom-line growth to full year 2020 and above pre-pandemic levels. Led by the implementation of our category expansion model 2021 was marked by the highest per capita consumption in Colombia in the last 25 years. In Brazil, we delivered double digit top-line growth with record high beer volumes. However, bottom-line was impacted by anticipated transactional effects and commodity headwinds. BEES now covers more than 85% of our active customers, and Zé Delivery fulfilled six to one million orders, more than double of 2020. Our business in Europe recovered top-line to pre-pandemic levels. Premium and super premium brands now may cover 50% of our revenue and grew by double digits. In South Africa, we grew top-line ahead of per-pandemic levels in both the quarter and full year. A strong consumer demand for our brands resulted in full year market share expansion in both beer and total alcohol versus 2019. In China, we delivered double-digit top- and bottom-line growth. Premium and super premium brands increased by double digits. Our market share expanded versus both 2020 and 2019. Moving on, I would like to spend some time talking about the progress we’ve made on our ESG agenda. Our ESG priorities are organized around three themes, inclusive, natural, and local. With these priorities embedded into our commercial strategy, we can drive meaningful value and shared prosperity for our communities and our planet. I’m proud of the journey our teams are on to advance our ambition ESG agenda. As part of our focus to drive decarbonization and build climate resilience, we have announced our ambition to achieve net zero by 2040. In 2021, we made progress across our priorities. Highlights include reduced our overall value chain emissions by 13.5% versus our 2017 baseline. Name it to CDP’s Water A List for the third year in a row. We advanced our Smart Drinking Agenda by updating our label designs on 100% of our primary product packaging in all countries where guidance labels are not required. Recognized in the inaugural ranking of the Forbes World’s Top Female Friendly Companies in 2021, selected in the Reuters Events Responsible Business Award in the categories of Social Impact and Circular Transition. You can learn more in our 2021 ESG Report. Now let’s pivot to an update on the three pillars of our strategy. Allow me to start with pillar one, lead and grow the category. Our commitment to lead and grow the category by investing in our brands, innovation and creative marketing is already delivering results. We met the moment in 2021 with all-time high volume. As we move from being category leaders to leading category growth, we continue to execute on the five levers of our category expansion model. First, we are building an inclusive category through scaling pack and product innovations. In full year 2021 our portfolio of inclusive brands increased revenue by double digits. Second, offering superior core propositions. Our mainstream portfolio gained an estimated 1.4 percentage points of share of the segment globally. We have rolled out our double malt innovation concept across more than 12 brands in 10 markets, contributing revenue of over $450 million this year. Third, occasions development. We are tapping into new occasions with our global portfolio. Stella Artois grew over 20% globally supported by increasing penetration in the new occasion. And now our non-alcoholic beer portfolio grew revenues by double digits. The fourth lever is leading premiumization. Our premium portfolio delivered over 20% revenue growth in full year 2021, and now represents approximately one third of our total revenue. Our global brands continue to lead this growth. The combined revenues of Budweiser, Stella Artois and Corona grew by 23% in full year 2021, outside of the brand’s home markets. Finally, we continue to expand the category with our Beyond Beer offerings. Our global Beyond Beer business grew by over 20% contributing $1.6 billion of revenue in full year 2021. Innovation supports category expansion across each of the five levers of our model. From entering new occasions, through our growing non-alcohol portfolio, to driving premiumization by expanding Michelob ULTRA to even more markets. Our innovations contributed 10% of our revenue. In total, more than $5 billion in 2021. We are leading the way innovation across our footprint. Our rolling 36 months share of innovation increased year-over-year in almost all of our key markets, including the U.S., Brazil and China. We are leading and growing the category with best-in-class creative marketing capabilities. Just this week, Cannes Lions honored ABI as the Creative of the Year. I would like to take a moment to acknowledge our talented teams and agents partners who made this remarkable achievement possible. Now let’s move on to our second strategic pillar, digitize and monetize our ecosystem. We are investing to scale our global, innovative technology products to become a tax first FMCG company. Products, such as BEES, Zé Delivery and EverPro allow us to unlock value from our existing assets. This is enabling us to turn customer pain points into opportunities for growth. It is now lies in 16 markets offering our customers flexible delivery and data-driven insights, while empowering our frontline sales team with real time information on customer behavior through our BEES Force application. BEES has seen remarkable acceleration in usage and reach capturing approximately $20 billion in gross merchandising value in 2021, up from $3 billion in 2020. Total monthly active users, more than doubled this year. Now, when we talk about our direct-to-consumer. Our DTC products generated more than $1.5 billion in revenue across 20 countries already contributing nearly 3% of our top line. Our e-commerce net revenue grew by 62% with 66 million online to transactions. That’s 66 million opportunities to capture data and insights to solve real consumer problems. Our DTC tech products are leading beer e-commerce growth by leveraging our ecosystem of brands that consumers love, our proprietary technology and our extensive distribution network. In Latin America, Zé Delivery is already present in roughly 300 cities in Brazil, and we are deploying the stack product across ten additional countries. In Europe PerfectDraft delivered more than $170 million of revenue. With that, I would like to hand it over to Fernando to discuss the third pillar of our strategy, optimizing our business. Fernando?
Fernando Tennenbaum: Thank you, Michelle. Good morning, good afternoon, everyone. I hope you are all safe and well. We aim to maximize value by focusing on three areas, optimized resource allocation, robust risk management and efficient capital instructor. First, let me take you through the drivers of our underlying EPS this year. Our underlying EPS increased by $0.37 cents from $2.51 to $2.88. Normalized EBIT increased by $0.81 per share. In net finance costs, we recorded lower interest expense due to gross debt reduction offset by other finance costs related to Brazilian tax credits. We saw higher income tax expense due to increased profitability, country mix and reduced benefits from tax attributes worth $0.30 per share. We also recorded higher share of results from associates worth $0.05 per share. And higher profit attributable to non-controlling interest worth $0.23 per share. With respect to capital allocation, we aim to maximize long-term value by dynamically balancing our priorities. Our main priority for the use of cash is to invest in organic growth opportunities that fall within the first two pillars of our strategy: lead and grow the category and digitize and monetize our ecosystem. The excess cash generated by our business is then dynamically allocated to our other three capital location priorities, the leveraging, selective M&A and return of capital to shareholders. As you can see here, two times net debt-to-EBITDA is the point at which we maximize value though approximately 90% of the benefits from the leveraging can be captured as we approach three times. This year, we achieved an important milestone in order to leveraging path. With net debt-to-EBITDA falling below four times for the first time, since the SAB combination. In the near term, the leveraging is to the most value accretive opportunity, as we continue to move towards our optimal capital structure, returning cash to shareholders, and pursuing selective M&A opportunities can have a more meaningful impact on the value creation. In balancing the company’s capital allocation priorities and dividend policies while returning cash to shareholders the Board has proposed a full year dividend of €0.50 per share for the fiscal year 2021. We have taken significant steps in recent years to accelerate that reduction. We have reduced gross debt by approximately $34 billion since 2016, with almost $10 billion in 2021 alone. Moving on you see that our debt maturity profile remains well distributed with no significant maturities over the next five years with the weighted average maturity more than 16 years. Let me elaborate further on the characteristics of our debt portfolio. As a reminder, we do not have any financial covenants on our entire debt portfolio, including our sustainability-linked revolving credit facility. The portfolios comprised of a variety of currencies, including the U.S. dollar, Euro, Canadian dollar, pound sterling, and Korean won, diversifying our FX risk. Our bond portfolio remains largely insulated from interest rate volatility as approximately 94% holds a fixed rate with very manageable weighted average bond rate of approximately 4%. Before I hand it over to Michel, I like to highlight the key metrics that reflect how we are optimizing our business. In 2021, we reduce the gross debt by $10 billion total in $34 billion of gross debt reduction since 2016. Our net debt to EBITDA ratio is now at 3.96x, below 4x for the first time, since our combination with SAB. 94% of our bond portfolios fixed rates with a manageable 4% coupon, and we have no near term refinancing needs. I’ll now hand it back to Michel for some final comments. Michel?
Michel Doukeris: Thanks, Fernando. I would like to take a few minutes to recap our reflections in learnings and how we are prepared to meet the moment in 2022. The beer category continues to demonstrate strength. We are operating in a big profitable and growing category. Beer is gaining share of throat globally. We remained flexible and agile in a challenging operating environment to deliver strong results. Driven by our leading brand portfolio and our accelerated digital transformation, our volume hit all time high and we gain a share across key markets. Our business has momentum. Looking ahead to 2022, we have already implemented or announced our revenue management initiatives in the majority of our markets. We will monitor how the year develops across all our markets and are prepared to continue to meet the moment. Additionally, this year presents unique opportunities to activate demand, such as continued reopening of the on-premise. In marquee events returning in full forth, such as Chinese New Year, Super Bowl, [indiscernible] and the World Cup. In conclusion, I’m proud of our ongoing transformation, as we position the company to deliver a future of more cheers. I will now like to hand it over to Jesse to begin the Q&A session.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Rob Ottenstein with Evercore. Please proceed.
Rob Ottenstein: Great. Thank you very much. Obviously inflation is on everybody’s mind, ABI perhaps more than most given the background in Brazil has had tremendous amount of experience dealing with inflation. You’re known for your cost discipline. So kind of two part question, first, how is the organization dealing with greater across the board cost pressures? Are you pivoting it at all? Changing targets, anything special to deal with it. And then second related you do have a different business model today, given the digitization of the business with B2B and D2C how has that impacted your ability to deal with the inflationary environment? Thank you.
Fernando Tennenbaum: Hi, Robert, Fernando here. Thanks for that question. I’m probably going to start and then I’m going to have Michel offer some thoughts as well. So in our outlook, we stated on organic a bit, a growth of 4% to 8% in, we are 2022, which of course, taken into account this dynamic cost environment we are seeing. We are not providing specific cost per hl litter to guidance, but what we mentioned our look is that revenue is going to be growing ahead of a bit. And then Michel, I don’t know if any other additional thoughts.
Michel Doukeris: Yes. Thank you, Fernando. Thank you, Robert, for the question. I think that you are right when we think about the very dynamic environment and inflation costs. So, I think that 2022 in a way is going to be very similar to 2021. And what we learned during this pandemic and is something that you mentioned is very core to our D&A is disability of adapt and being flexible, but always focusing on results. If you think about the quarter four 2021, we have already implemented or announced most of our revenue management initiatives in the majority of our markets. And this is consistent with what we’ve been talking since last year, that we were prepared to meet the moment, and quarter four net revenue per hl litter at 8.1% is already a proof of point on how agile the company is being in dealing with that. You know and you mentioned that we operate in very different markets. So, we have inflation now across the board, but we’ve been dealing with inflation for many years in developing markets and our revenue management took it is being very helpful over the years, but it’s almost like if we are in a 2.0 version with data that we have in hands now, because of these, because of direct to consumer, that is much more data. That’s turning not only the way that you go to market more efficient, but also how we manage our promotions activations in a way that’s much more dynamic, but is much more efficient as well. Hence a proven point you think about us achieving all time high volumes in 2021. And then I think that last, but not least our brands continue to perform very well and enhance it by the digital capabilities that we have today. We are very well positioned for 2022.
Rob Ottenstein: Sure. Thank you very much.
Operator: Thank you. The next question comes from James Edwardes Jones with RBC.
James Edwardes Jones: Good morning. Thanks for taking my question. Well, two questions. Can you say a little bit more about resource allocation between the different product segments, you mentioned that you grew share in mainstream, but my sense is that your focus is more on the premium end of the market. Is that correct? And secondly, your sales and marketing ratio dropped by 120 basis points in the year and it’s fallen by 140 basis points since 2017. Is that one of the things that’s going to change under this new management team?
Michel Doukeris: Hi James. Thank you for the question. I’ll take the first one first. First, I’m try to address the second one, if I understood, right you are talking about sales and marketing as a percentage of net revenue, right?
James Edwardes Jones: That’s correct.
Michel Doukeris: Yes. So the first one, in terms of a location, we have a dynamic way of allocating resources by segment and Fernando mentioned this during our Investor Meeting last year that we improved big time our model, and despite of our focus that we have in growing in accelerating the premium segment, which grew 23% last year. We continue to allocate resources across all segments and trying to be very efficient. And as we rebalance the portfolio, we have clear objectives for each segment, while share of segment in the mainstream business is very important and we are driving innovation and growing with propositions such as double malt. We are also investing in premiumizing and accelerating growth, because it’s very, very important to get to a scale with our global brands where then we can harness most of the benefits. And now our category expansion model is a very good tool, because based on the five levers, we can deploy resources where we have higher chances to win. And this connects very well with the second question, because in a way, looking only into the percentage of sales and marketing versus net revenue, this now really paint the full picture. Let me let put this way, like in one hand, we are becoming much more efficient as we digitize, as we get more data, we can then tailor much better our investments by segment, by region to the tail of cluster of clients that we can through the usage of data be very precise. Combine it with that, our creative work driving the brand is also becoming much more efficient. So, we are driving higher ROI campaigns. You just saw, we shared with you now being recognized by Ken [ph] as the creative market here of the year has a reason, and this creative power drives efficiency. So more creative usage of data, higher percentage of sales going direct to consumer, allows us to really, really improve our efficiencies. On the other hand, as we accelerate growth and our revenues grow 15% last year, the food picture is really more into how much money are we deploying for growth and then just to get the figure from 2020 to 2021, we invested more than $400 million additionally, to continue to drive momentum and power on our brands. So this is, I think that a good explanation, maybe why our business has the momentum that has today, and why we ended up 2021 at all times volume high.
James Edwardes Jones: Thank you.
Operator: Thank you. Our next question comes from Trevor Stirling with Bernstein. Please proceed.
Trevor Stirling: Hello, Michel and Fernando. So my first question, Michel, as I wonder if you can give us a little bit more color on terms of the components and the elements of your guidance of your 4% to 5% you’re implying a little bit of margin compression going on, but in terms of the top line growth, do you think it’s going to be mainly volume, mainly price mix and some sense of maybe, which geographies you expect to drive the growth in the coming year? And my follow-up question, maybe one more for Fernando. Your EBITDA level is now back to we’re slightly ahead of where we were pre-pandemic, but the tax rate is staying quite high. Is that because of the fundamental change in the country mix or is it because of underlying tax rates in any of your key geographies?
Fernando Tennenbaum: Hi, Trevor thanks for your question. Let me start by taking the second one. And then I’m going to go back to the first one. So on the text outlook is a function of the country mix. You are correct on that. And it’s underpinned by the strong performance of emerging markets like maximum Colombia, which are growing at the faster pace in the rest of the operations. And this translates into an average higher tax rate. But no other reason than that. And then on your question on outlook, our outlook has actually 4% to 8%. And what we said is that the it’s 4% to 8% and with revenues growing ahead of a bit and with a health combination of volume and price. So, this is what we said, and this is as far as we go on kind of making a statement on the outlook. So the important for us to focus on the 4% to 8%.
Trevor Stirling: Very good. Thank you, Fernando.
Fernando Tennenbaum: Thank you
Operator: Thank you. Our next question is coming from the line of Pinar Ergun with Morgan Stanley. Please proceed with your question.
Pinar Ergun: Hi, thanks for taking my question. I have one on the U.S. This is now the third consecutive year of organic sales growth in the country. Has your portfolio shift towards more premium areas got this business to a point now where you would be able to maintain this growth momentum going forward, and it would be useful if you could please also comment on the STRs versus STWs and stock levels, and anything you can share about the U.S. EBITDA evolution going forward. Thank you.
Michel Doukeris: Hi Pinar, Michel here. Thanks for the question. I think that we are very pleased with the momentum in the U.S., and if we go back, when we talked about the U.S. strategy, the new commercial strategy and the challenge that we had there in turning around the business and rebuilding momentum I think that we can now say that with the three consecutive years of top line growth, the top line momentum is back in the right direction. And this is a product of our portfolio rebalance. We accelerated a lot, the growth in segments where we had good headroom, great brands to drive this growth and that are growing segments. So we structurally the business is now in better shape and of course we need to earn each and every day, consumers retailers in partnership with our wholesalers. And of course, as this brand is scale, and as we get into a more normal situation, which we hold hope that’s going to be sooner than later, this growth will translate in margins and EBITDA and we’ve being seeing that top line coming, margins are coming. We continue to invest not only behind the brands, but also investing in maintaining our marketing momentum there. And this will translate into EBITDA just to give you one metric, we have today around one-third of our business in the U.S. already in the – both of our segments and this one-third is driving the overall top line growth because the growth is far ahead of what the industry average is. In STRs and STWs I think you remember over the last one year and a half because of full disruptions in supply chain. We ended up in very short inventory, low inventory with our wholesalers. This is more like normalized now. So it’s almost back to the same level of a STR and STW when you put like the last 18 months combined and even residing in a health stage to date there. So as we prepare now to phase towards spring in summer we believe we will have a much better summer in terms of product available this year in North America.
Pinar Ergun: Thank you.
Operator: Thank you. Our next question is from the line of Mitch Collett with Deutsche Bank. Please proceed.
Mitch Collett: Thanks. Hi Michel. Hi, Fernando. My first question is on the guidance again I’m afraid. So the 4% to 8% EBITDA growth guidance is I would say relatively narrow range given the current level of geopolitical uncertainty and the scope for further COVID related disruption and even potential for more input cost pressure. So, can you talk about some of the scenarios you’d considered when coming and saying you could come in the medium term guidance range? And then my second question is on Columbia specifically where you’ve been affected by capacity constraints. And yet you also said you hit a 25-year high in terms of per cap consumption. When do you expect to be able to ease the capacity constraints and where do you think per capita consumption can get to when you do? Thanks.
Fernando Tennenbaum: Hi, Mitch, Fernando here. So when provided the outlook of 4% to 8%, we provided this outlook based on the other information that we have in our hands, and all the capabilities that our team have. So of course, it’s a dynamic environment, we mentioned that, but given all the different puts and takes and our revenue management capabilities, the strength of our brands, we felt it was the right outlook to provide 4% to 8% for full year 2022. And on the second one country, I will turn to Michel.
Michel Doukeris: Yes. Mitch, Michel here. On the second question in Columbia, I think that Columbia is a great example of our market expansion model and technology with BEES and direct consumer working at its full force, right? So we see a market that is grown, industry is growing, it’s premiumizing at the same time. We had double-digit growth there top and bottom line, brands performing very well. Some of the can awards came from Columbia, very good creative work there. Very good integration, commercial speaking, and innovations helping in further accelerate category expansion. Volumes really moved faster than our ability during the pandemic to build up capacity, but we have two trenches of capacity come live this year 2022 that will allow us to service the demand, while we continue to invest to further accelerate growth both in the category and in our portfolio. So two big investments come to life this year in Colombia to help us with more product availability.
Operator: Thank you. Our next question comes from Edward Mundy with Jefferies.
Edward Mundy: Good morning, Michel. Good morning, Fernando. Two questions for me please. So innovation delivered 10% of sales in 2021 and double malt was a big success. Can you talk with your degree of confidence that your innovation pipeline could sustain this level of innovation into next year and beyond? And as a follow-up, we’ve seen a big step up in revenue perhaps lead to in the fourth quarter. How sustainable is this into 2022 and could accelerate further as the full benefit of pricing in developed markets drops through?
Michel Doukeris: Hi, Ed. Let me start with the first question on innovation. I think that this is a very important topic for us is a journey that we are in the company for some years now, understanding better insights and consumer needs and being able to tailor products, packaging, and even consider expansions beyond beer to address more occasions and drive this growth in category expansion. So this innovation is being great to add to the current brands and segments that we have as well as to allow us to tap into new occasion and gather more consumers around the products and offerings that we have. This is becoming much more mature inside the company as a process. So we are innovating in product development. We are innovating technology products. So BEES is a great example. Zé Delivery is a great example, as well as business models. You think about perfect draft in Europe is more than only a product, is more than only technology, is a new business model implemented in a very innovative way. And we have a strong pipeline. You just think about the U.S. for example, what came to life now this year with hard sodas and seltzers with zero carb in Bud Light with our brands in Beyond Beer continue to power. And if we think about the second question in the revenue product litter, we talked about this during the quarter three last year that we were actively and proactively implementing the actions to meet the moment. Quarter four net revenue was the highest in the year and was, as I said before a consequence of many markets already having the pricing for is in place for this year, or announce it in some other very important markets. And we will continue to monitor as the environment remains very dynamic. And as said before, we are prepared to continue to meet the moment.
Edward Mundy: Thank you.
Operator: Thank you. Our next question is from Laurence Wyatt with Barclays. Please proceed.
Laurence Wyatt: Hi, Michel, Fernando thanks very much for the questions. Could I ask on your digital capabilities that you now reiterated that over 50% of your revenues are coming through digital? Could you break that out into the BEES system that you talk a lot about? And we heard a lot about at the Capital Markets Day. So the other digital systems that I think you you’ve had in place in the past, and then building on that within BEES, how much of BEES comes through your own brands and how much is coming from the marketplace? And do you have any potential ideas on, on how big the marketplace part of BEES could get? And on that, I’m just interested on, on what that could do to margins. If you do a lot of market place type work, thank you very much?
Michel Doukeris: Thank you, Laurence. I’ll try to tackle the question here piece by piece, but the 50% of our revenue coming from digital is on our sales to retailers. We add on top of that this 3% that we communicated on direct to consumer. So the 50% is very meaningful because it’s kind of a landmark, right? So more than half of our sales now being digital, this proves that the technology, the product that we have it very good product that has the thickness and has performance. And this is the obsession of our team at BEES is deliver a great experience for our customers. And they’ve been doing that. The usage is very high, 2.5 million customers already adopted and use BEES all the time, and they use BEES because it’s convenient, because empowers them to have better visibility on their business, to have better ways to put their orders in place and control and learn things about their business. With that, our business becomes more efficient and becomes a win-win solution for us and customers. And BEES is by far better technology than any other system that we had before. And that’s why the adoption is so fast, and that’s why the usage by customers and by our sales team with BEES force is so big as well. So it’s a great step and we continue to expand going to more countries and gathering more customers to use this. When we think about the second part of the question, which relates to the marketplace, we are implementing marketplace in different markets. Of course, it goes together with BEES as the convenience of that and the logistics reach that we have, and the ability to bring partners on board with great service level to the partners as well. We see that today there is a big amount of our customers already buying in marketplace. We see that they buy a great amount of products. So we have like single-digits is still, when you think about the revenues on BEES being from marketplace, like 5% to 7%, and you see that more customers are joining, which is very good because when you think about the average composition of BEES is more in medium outlets, that we service. Beer accounts anywhere from 20% to 25% of their revenues, their purchase, so therefore we have between 3 and 4 times addressable market that’s no beer for us to tap into with marketplace. The two is good. The service level is very high; adoption so far is being very good because more and more customers are buying beer and other products into the marketplace. And we’ve been partnering with great companies that are joining us in this quest to service with high service level or customers. So it’s exciting. It’s still at the early stage. We will share more with you whenever we have some materiality that’s worth sharing with more details, but at this moment is growing very fast both in adoption and total revenues, it represents somehow 5% to 7% of the BEES revenues across the market, and the opportunity for us to tap into is 3 to 4 times GMV there is more in medium outlook.
Laurence Wyatt: That’s great, Michel. Thank you very much. And just to follow up on that, it fits around 5% to 7% of BEES revenue today assuming BEES continues the rate it’s growing, in many years out – sort of five to 10 years out, how big do you think the marketplace could be as a percentage of BEES revenues?
Michel Doukeris: We are not speculating about numbers for the future. We are trying to give you facts and data about the numbers that we have on quarter four and full year 2021. But again, it’s growing fast, much faster than the overall revenue of the company. The market opportunity, 3 to 4 times the GMV that we have with beer in this is more in medium outlets, and we are confident in the tool. So technology is great and BEES is a great product. We are confident on our partnership with the small and medium enterprise. And so far all companies that have been joining us, today we have more than 150 partners on BEES across different markets. They’ve been enjoying growth as well on their business. So it’s a win-win-win solution when you think about the marketplace.
Laurence Wyatt: Excellent. Michel, thank you very much.
Operator: Our next question comes from Tristan Van Strien with Redburn Partners. Please proceed.
Tristan Van Strien: Hey, hello. And two questions for me, one Fernando, I just wanted to ask about your working capital inflow, which was quite incredible about 2.5 billion. Just trying to understand, I think that’s the best ever inflow you’ve had. So trying to understand what drove that exactly and how sustainable those kind of inflows are as we think about this going forward? And my second question, Michel, I think this is the first time in 20 quarters that AB InBev has not mentioned the affordability strategy. I think in light of all the inflationary environments, economic pressures where does that sit in your thinking? How relevant is that going forward? Thank you.
Fernando Tennenbaum: Hi, Tristan. Fernando, here. So on your question on working capital, given that we have a negative working capital. Once we have volumes increasing, that’s very powerful on the cash flow line. So that’s one of the effect. The other – the other effect when you look at the working capital, we – when you compare 2020 we increased the CapEx expenses. So that has an impact on payables and also as Michel, Michel pointed out, for example, Colombia in some of our markets that were growing volume a lot, inventories were more on the lower side. And that also have a positive effect on the working capital. So on the long-run as long as you have volume growth, the negative working capital always plays in our favor, but some of the other – the other effects are more temporary and you should not sit it repeating.
Tristan Van Strien: Thank you.
Michel Doukeris: Tristan, Michel here. Thanks for the question. I will take the second part on the affordability. And in a way we are talking about that, talking a little bit different and we will expand and explain you this. So the affordability part is a very important component on the category expansion model, but we decided when we talk about the five levers, we decided to make this broader, and we are calling inclusive category and why we are talking about inclusive category rather than only affordability, because when you think about inclusive and you think about all the consumers, that beer does not have penetration today, but they are consumers that we can target and grow the category. You include women, you include people with low purchase power, you include people that they are drinking different beverages and the innovations that we have or different formats and impacts can address. So today the affordability part as you knew before, is included as one sub component of what we call now, inclusive category, because there is much more inclusive it than only price. And you are right to say that in the inflationary scenario, we’ll be working smartly with pack, price and innovation. So, we can achieve both our revenue targets, but also our volume ambitions as we continue to lead and grow the category because the taste of this all time high volume is very sweet. And as we work to build a company and create a future with more cheers, we need to continue to develop the category and grow as we lead the category. So we need to include more people into the future.
Tristan Van Strien: Thank you. That’s very insightful. Appreciate it.
Operator: Thank you. Our next question comes from Simon Hales with Citi. Please proceed.
Simon Hales: Thank you. Hi, Michel. Hi, Fernando. Two for me as well, please. Can I just come back to the issue of pricing and the strong revenue per momentum you’ve reported. As we look forward into 2022, do you expect the price actions that you’ve been taking, we need to recover the cash impact of the COGS inflation you are seeing, and maybe just building on that affordability issue in relation to Tristan’s question in the short term, how do we think about the incremental elasticity impact in 2022 on your volumes from these price moves? So that was the first question. And then secondly, I just wonder in terms of supply chain, supply bottlenecks in the business is there I think, we should be aware of at the moment in any of your geographies and has this glass life situation now normalized fully in the U.S.
Fernando Tennenbaum: Thanks Simon. This is Fernando. I’m going to take the question 1a, so out your question. So the first one is on the, when you ask it about pricing and what does it mean for revenue and dynamics on cost. In our outlook we going back to it, we said 4% to 8%, and we said that revenues are growing ahead of EBITDA. So there are some pricing cost dynamics implied in this outlook, but we remain, on the 4% to 8%. That’s why we, we should be delivering this year. Then on the 1b and two, I’m going to transfer to, to Michel.
Michel Doukeris: Simon, thank you for the question. Let me try to address it here to you. On the elasticity part, I really think that we can only learn from the past, use the models to project, but of course, as the environment is being very dynamic. We need to continue to monitor the evolution. And if you go back to 2007, 2008, when was the last time that we saw such spike in costs, followed by price and inflation. What we saw was actually that across many categories, including beer, they elastic came and charge of the price. So there was indeed contraction in the market was different developing, developed markets and was also different from today. So, I think that one, there are elasticity is in play there indeed, and still too early, giving the recent price movements for us to precisely say how big the elasticity will be. But the environment today is also different because in many countries, people have enough money giving all these stimulus that were given during the pandemic to maintain purchase power, even with an inflation that we are seeing any other countries will need to be monitoring closely, because in some of these countries, all the incentives and stimulus that people had, they burn out during the pandemic and then people will need to rely on salaries increasing, aligned or ahead of inflation in order to be able to keep purchase power. I think that our brands are in very good position. I think that momentum that we have today in market sharing volume helps us to continue to moving forward. And because most of our markets implemented or announced prices already in quarter four. We are now very focused on activating the demand. And we have this year, this balance of the difficult inflationary environment, combine it with very unique opportunities for demand activation. Think about all the marquee events related to sport, but beyond that, that they didn’t happen in the last two years. And now, as we see Omicron phasing out in many markets and with the best information that we have today, many of these events are coming back. We just moved from Super Bowl two weeks ago, there was a great activation, volumes in the own trade, grew 35% week versus week Super Bowl this year versus last year was up. And we had like a great celebration in the U.S. on the event was, I was there. I saw people on the streets, people on the stadium and high consumption. Think about own trade reopening now in Europe and everything that this can add in terms of occasions, coming back for consumers to enjoy beer. And most importantly, then we have summer, which is going to be, I hope a different one from last year and in the back end of the year, FIFA, which is a global event, right? Because more than 40 countries participating, everybody watching football and soccer. So, I think that we now are very focused on driving consumer demand in activating our brands and in leading and growing the category. So, we need to balance. So there will be of course, challenge as each and every year has its own challenge, but I’m very confident on the opportunities that we have to activate them in this year. Our plans are ready and our team is executing his excellence. On the supply chain, just to finish. I think that you asked about the, the U.S., I forgot that. I think that overall the dynamics in the market continue to be very intense. So shifts are happening across the board. But if you think about the last two years, I think that we’ve been adapting to each and every situation. I’m very proud of our team’s flexibility and ownership and how much they’ve been working hard to deliver this strong results that we delivered in 2021. So, I think that there will be more continuation of flexibility, more adaptation as we address that. And one point that I might highlight on that, is that with the return of the own trade, we see now bottles, glass package is growing. We see returns of kegs. That for us are very good packaging. We have very good spacing lines, less demand on aluminum because of the off trade now not pumping at the same speed, that was during the pandemic because there was the only channel. And this helps us well in getting the supply and demand equation better balance, but it’s going to be another year in which we’ll need to work very hard to deliver.
Simon Hales: That’s great. Thank you.
Operator: Thank you. Our final question will come from the line of Sanjeet Aujla with Credit Suisse. Please proceed with your question.
Sanjeet Aujla: Hi, Michel, Fernando. My question is just on B2B again. I think a lot of your progress has really been in markets where you have direct distribution. How are you approaching digitalization in markets where you have indirect distribution? Is there also a significant opportunity for you here?
Michel Doukeris: Hi, Sanjeet. Good morning. Thank you for the question. And I think that you are addressing a point that’s very important. And I would say that we have ways in which the technology will be deployed and the way that we built the product, that our team from BEES, designed their market approach and that expansion strategy, the direct distribution markets are well tailored for us to quickly implement rolling in out country to country. So today we have 16 countries and having fast adoption and fast retention, utilization of the technology with our own teams.  But if you think about the next wave, so we are now tackling the U.S. and we have some interesting success cases already, but because of the three tier system that is a lot of product development and adaptation that needs to be done. So we have like a bunch of engineers coding and making sure that, the product to the U.S. deliver the same benefits for our retailers and the same level of performance for our wholesalers. And also we are growing China. So BEES is also being organized and developed for the three tier system that exists in China. And so far growing fasting adoption, very successful. And this is part of this approach of us evolving and transforming to a tech first CPG, where we have great physical products, Corona, Budweiser Stella combined with best-in-class tech products, such as BEES, Zé Delivery and other products that we’ve been developing. So, we are expanding that’s the second wave. And the third wave is investing in the large key accounts where you see today very old, electronic systems, so called EDI across the markets.  And we are working on BEES link that’s already been tested and is a modern approach to EDI much more integrated, much more user friendly with great technology that will allow us to tap into the larger accounts now in partnership with them to also optimize their business and our interfaces. So first big wave, 16 countries, 50% of our volume, second wave developing for wholesalers and large markets such as U.S. and China and the third wave is then completing the puzzle with the key accounts where we also have like a huge opportunity in bringing data visibility, service level up and continue to partner with our main customers.
Sanjeet Aujla: That’s great color. Thanks, Michel. And just a quick follow up for Fernando, within your SG&A expenses in 2021, I think there was a massive step up in admin particularly linked to variable compensation. How are you thinking about that into 2022? Is that a level of expense where we could see some opportunities to, for that to decline or is this kind of a new base going forward?
Fernando Tennenbaum: Hi, Sanjeet, the best way for you to, to look at this SG&A increase is if you think that in 2020 was a year of no bonus, and this year it was a year of a strong performance. So rather than giving an outlook, I’d rather give the reasons for you to why 2021 was higher than 2020, and then probably you can run the math and then you can get a, what is going to be a, the run rate level that you should be expecting from SG&A.
Sanjeet Aujla: Got it. Thank you.
Fernando Tennenbaum: Thank you.
Operator: Thank you. This is final question. If your question has not been answered, please feel free to contact the Investor Relations team. I’ll now turn the floor back over to Michel Doukeris for closing remarks.
Michel Doukeris: Thank you, Jesse. So in closing, I would like just to reiterate that we are very pleased with the strong performance in our business, with the momentum that we have as we start 2022. We know that, we are delivering on every metric that matters to the business. And as a consequence, we achieve this all time high volumes in 2021. We are well positioned to meet the moment in 2022. Our brands are performing well. Our market share across, most of our relevant markets doing very well. Categories growing, beer is gaining share of throat. And as I said, we have unique opportunities to activate the demand in 2022, and we are prepared with our plans in place. So thank you very much for your time today for your ongoing partnership and support of our business, and please stay safe and well. Thank you.
Operator: Thank you. This concludes today’s earnings conference call and webcast. Please disconnect your lines and have a wonderful day.